Operator: Good afternoon, and welcome to CXAI Q3 Earnings Conference Call. At this time, all participants are in a listen only mode, and please be advised that this call is being recorded. And now I would like to turn the conference call over to Mr. Khurram Sheikh, Chairman and CEO of CXApp Incorporated. Please go ahead, sir.
Khurram Sheikh: Thank you, operator, and thank you everyone for joining the first half earnings call for CXAI. I plan to discuss CXAI's financial results for the third quarter of 2023 and provide an overall business update on our progress in shaping the future of work and creating transformative employee experiences.  Everybody will have access to our earnings announcement and our 10-Q filing which will be released shortly. This information will also be shared on our website, www.cxapp.com. I'd like you to review some disclaimer slides here, the next couple of slides that you can read at your own leisure.  Dear shareholders, as we reaffirm our mission and purpose CXAI is a SaaS platform anchored on the intersection of customer experience, CX and artificial intelligence AI providing digital transformation of the physical workplace to enhance experiences across people, places, and things. The quality of CXAI is innovation focus, with three core values, purpose, passion, and positivity. We are passionate about solving the big problems in the future work using AI. And we are super positive about creating a new paradigm of digital transformation of the enterprise, focused on employee experiences.  We are headquartered in San Francisco Bay Area, we're regional tech hubs globally, the global presence and diversive experience gives us a leading edge as we shape the future of work everywhere. We believe that CXAI is well positioned to assume a dominant role in the rapidly expanding market of employee experiences. The future work is one of the biggest issues of our century, and every single enterprise globally is looking to find solutions for the digital workplace and workforce. Both leaders of enterprises and employees are navigating unchartered waters relative to hybrid work in the post-pandemic world and encountering significant challenges and new opportunities to innovate and augment their experiences. As we break down the so called RTO, return to Office problem it fits into the three buckets that our mission statement was founded on, people places and things.  Losing employees due in part to disengagement or RTO mandate is a massive loss for any company. It's not enough for companies to set rules for when employees should be at the office. They must also provide a bridge between employees to facilitate collaboration, innovation, conversations and connections. Employee engagement is mission critical for the hybrid workplace, and is the true measure of the productivity of the enterprise, as well as the happiness of the employee.  Great work has always been about the ability to feel connected to your employees' mission, and be able to feel fully productive in your office environment. That connectedness is inherent in successful workplace cultures now extends beyond the four walls of the office and the physical devices that company provides them. It now needs to include the transformative workplace solutions that allow employees to experience their full work lifecycle from anywhere.  And lastly, we live in a world where we have conflicting priorities and having the tools to create a flexible lifestyle and optimize work life balance is critical for employee engagement and retention. Office occupancy is down more than 30% globally since the pandemic as employees want the flexibility of work from home, WFH options. The five day a week in office expenses not coming back and companies will potentially lose over a $1 trillion in by 2030 in the value of their commercial space, because space does not get utilized as intended. Companies are looking to resize and redesign their spaces and to provide higher levels of effectiveness of the organization.  To combat disengagement and drive retention and space utilization, companies need top amenities and technology solutions that allow for a more efficient workplace environment as well as a superior user experience where employees can collaborate for higher levels of productivity. Employers are seeking analytics centered around employee application usage, office occupability [ph] space reservations, facilities upgrades and the are key metrics that help with managing, refining and even optimizing the health of hybrid workplaces.  Driven by a significant shift in 2023 from a mostly remote working model to a hybrid working model, the return to Office trend has solidified the need for organizations to have tools that are adaptable to the dynamic of a changing workplace and can elegantly bridge the gap of their converging needs relative to asset management, facilities management, company communication, physical and virtual collaboration on site visitor management among a host of other digital and physical needs. In addition to remote work has to become more simple, efficient and seamless, as work from anywhere becomes the expectation and norm. This is the biggest problem of our industry, the big RTO problem. And we are uniquely positioned to lead the category and shape the employee and workplace experience landscape, given the ongoing digital transformation of nearly all enterprise organizations.  So what is the solution for the problem? And so we have architected our solution as a platform that solves problem for both employees, employers as they navigate their workplace. And we have built it grounds up anchored on artificial intelligence. The solution, we call it, our CXAI, platform, CXAI platform, is a state of the art technology platform anchored on AI. But our focus has really been the employee and the employee experience. So we've architected and designed it, to have the employee at the core in terms of the design requirements and the attributes.  AI or artificial intelligence is transformative to the future work, creating massively scalable offerings that create the flywheel effect of automating the workflows, driving engagement, enabling collaboration and productivity, leading to immense affinity in the employer employee relationship. We have been strong believers in this technology, and now proud to be the first or industry to offer solutions to our customers.  So what is our solution? What is the offering? Our AI needed platform is built upon our mobile first, cloud first workplace super app. That workplace Super app provides a full stack solution that allows employees to experience all their work tools in a single application to provide our customers' employees with a simplified, immersive user interface, natural language processing inputs, and the assistants to digitally navigate and automate their workday, all seamlessly from anywhere. We have created a more human centric work model. On the CXAI platform, we are developing category leading horizontal and vertical generative AI applications.  We believe these AI native applications will become the norm for the new knowledge economy, and generate transformational employee experiences everywhere. Our AI power tools will enhance the overall workplace experience by fundamentally automating all routine tasks to create new levels of productivity and efficiency. With enhanced tools like augmented reality and data visualization, teams can collaborate more effectively, and increase their ability to innovate faster. Personalization of employee preferences, as well as the Workflow tab, create a new digital twin model for employees and employees as they save precious time and create a new dynamic for engagement and job satisfaction.  Our AI tools and models are built on the strong foundation of our full stack software solution that provides contextual awareness using indoor mapping and on device positioning technology, as well as the data collection of millions of data points from our enterprise app. This new area of spatial intelligence, creates the opportunity to personalize the workplace experience at the same time as we define the workplace environment. The key output of our amazing AI application is a data and analytics engine that fuses the user facing things data to create what we are calling experiential analytics.  These are the key insights and outcomes that will drive to help solve the future work problem. We will be showcasing some key examples in a bit here. But I want to continue with showing the architecture of our solution for full stack platform. This next slide describe that CXAI full stack platform that we have built. The simplified, scalable and AI native platform provides the most comprehensive solution in the enterprise workplace market.  We also plan to use an open API approach on the CXAI platform to integrate more than 100 plus third party solutions using micro services that we provide to our customers today in their enterprise functions under one umbrella, as well as full visibility into the entire workplace environment. The Sky platform CXAI platform is based on 37 filed patterns, with 17 of them already granted. This substantial intellectual property not only establishes our company as a technological front runner, but also secures our position as a pioneer in the industry. This platform has been developed in collaboration with leading AI companies in the tech ecosystem in Silicon Valley, and we are excited to partner with them.  We are looking forward to unveiling the platform to select customers this quarter. And we will be scheduling the launch in December with a special webcast for investors. We look forward to sharing that with you in December, the details of the launch.  So let's talk about our current business and our current customers. Our primary business is a SaaS platform that we sell to enterprise customers as an annual subscription for normally three year periods. Today, customers deploy a cloud-hosted software across their enterprise campuses, to allow employees to connect with their workplace for a myriad of use cases, examples being desk [ph]/room booking, collaboration, navigation, food ordering and internal communication.  Our largest enterprise customers are mainly divided into the following top five verticals, financial services, technology, media and entertainment, healthcare and consumer. We are proud to have some of the largest builders of the world as our customers that are at the leading edge of the workplace transformation. We have a healthy distribution across all verticals. And we see the adoption trend developing from technology sector focused companies to the larger fortune 500 portfolio. Our customers are sophisticated buyers of technology solutions and do not compromise on quality, performance, security, reliability, scalability, and technology. These are the main reasons why we will and why has been successful in keeping them as happy customers. The great diversity of our customer base across different industries in many geographies around the world provides us with rich datasets that enable the most insightful, experiential, analytic, and generative AI applications. Data driven insights provide the strongest foundation in how to shape the future of work. One of our first offerings from the Sky platform is our AI based analytics engine. Quality analytics are the lifeblood of the employee experience, as they provide predictable outcome for our customers, and also feed the data source for the value based application.  I will walk through some interesting tools and models that we are building just as a starting point, and we're going to share more details in December. But starting on this chart with user analytics, we can characterize the user behavior with our application. We can show usage as a function of sessions to interactions per day to feature utilization, these data sets can lead to major impact of what are the real pounds for consumption and productivity.  On the next chart, I'm going to talk about another set of analytics tied to, you know, base data from a single building on a campus to the global footprint that you as an employer can see the performance and experiences that your employees are seeing across the whole enterprise. This can demonstrate the overall utilization of assets and usage it as a function of location were real indicators on behavior that may be local to region, or tighten policies and principles and processes. As you can see from this chart, we have a rich dataset of great customers in different locations, and different attributes. In this case, there's really great insights from the same company having an office in in the Middle East or having it in Europe or having it in the U.S. and seeing the differences as well as similarities in some of the user behavior and experiences. This is super, super exciting and super insightful.  The last chart I'll show you is on the analytics piece is to show the fusion of user facing things to provide a contextually aware visualization of experiences. As I said at the start, it's all about people places and things and the data around it. And as you can see, there can be super intuitive application that can create customized insights based on user query and can also provide rapid forecasting and prediction of outcome. This is really being implemented today with us with our existing customer was super excited about these opportunities. And these applications are also demonstrating how we are going to deliver value based offerings to our customers that will create massive increase in cost saving efficiency and productivity.  The goal again as I started with the problem is those three big things, people places and things for the RTO. We're solving those today with our existing customers, with our great analytics capabilities, and we're going to continue with the AI platform as it scales up to offer those value based application.  So let's talk about the financials. And as we move to discussing the financial results of Q3, I would like to remind the audience falling [ph] Q3 results should serve as an initial baseline for the business structure of the new CXAI. I'd like to caution that a while our business is doing great signs of progress, and growth, we are early stage of this multi billion dollar opportunity and want to be careful not to put undue influence on any given metric until our scale increases, and the data points become more meaningful. With that said, we're making great strides in the right direction and the number of proof points demonstrate our customer traction, which I'd like to share.  CXAI's land and expand is our key strategy, which is our compass for growing subscription revenue within our existing customer base and beyond. We are winning large multinational enterprise customers, and expect this big increase in the coming months. As you win new customers and expand within existing customers. I expect to demonstrate this progress to KPIs such as remaining performance obligation growth, or RPO, and annual recurring revenue or arr. Finally, I believe we have the right cost structure in place to generate strong operating leverage as the revenue builds.  To go a little deeper on the quality highlight and share some details, we demonstrated record growth in our backlog as we grew RPO double digit sequentially by continuing to win new customers. We expanded across verticals while also demonstrating strong expansion growth within existing customers. Customer wins are a primary measure of success in our early rampage. On this point, a highlight of Q3 was being selected by one of the world's largest media organizations for a seven figure agreement after a rigorous due diligence process where the customer evaluated multiple solution providers, we were ultimately awarded a large subscription based contract for initial three year term. There is also attractive growth potential expansions and value based applications as launched the first deployment. This builds upon the momentum of large customer wins in Q2. And I believe this demonstrates that despite our small size, large companies are excited about our current solution or path to AI with our CXAI technology first platform and our partnerships, which are increasing at an increasing pace with the technology ecosystem.  In the meantime, this growth in customer and subscription revenue helped us generate strong growth in AR, double digit growth since the beginning of the year, as we continue to add customer commitment to our subscription based SaaS platform. At the same time, we're highly focused on managing costs. We believe we got the right operating structure to execute on our plan. Due to our continued growth, in subscription and away from professional services, as we transition to our standardized type platform, our visibility and margin profiles continue to improve. Gross margin for Q3 was 80%, up from 75%, in the prior quarter. We expect this trend to accelerate, as we launch our AI solution. At the same time, we have optimized the operational cost structure with the 56% operating expense reduction as compared to Q3 2022 prior to the acquisition.  As you can see, we are marching forward with really great metrics for both SaaS based business. And these metrics are, are in the right direction. And as with AI that we're implementing not only for our customers, but for our own operations you're going to see higher performance gains and all these metrics. And we're super excited about leveraging AI across the enterprise.  On the cost structure I actually want to spend a little bit more time because I want to make sure there's better investor understanding of our focus and why we are so bullish on our cost structure today. So we have provided here a non GAAP expense reconciliation. I recognize the difficulty of measuring the company to the successor predecessor statement, but I think it's important for investors to get a solid understanding of the cost structure, that one can get a feel of how or how we can begin to generate cash and progress as the top line grows. We have reduced operating expenses by over 56% year-over-year.  Now our expense base is roughly $4 million per quarter with an ample investment in R&D to generate the type of growth we expect next year, as we continue to transition away from professional services, and towards a subscription based staff platform, we expect that revenue go to accelerate next year. With our new cost structure and healthy balance sheet, the company's well positioned to accelerate its growth and pace to scale the business. And as you can see on the chart from September 30, 2022, we had around $9.3 million of operating expense. And we've now reduced that to just north, a little north of $4 million. And as I said earlier, we're implementing AI-based capabilities across the enterprise that will allow us to be more productive, more efficient, and lower cost.  So this is the baseline for our cost structure, and it will be more efficient and more productive in the coming quarters.  So I want to sum up here about -- I want to recap what we just mentioned in terms of our investment highlights and I see the world unfolding in front of us. We are shaping the future work with leading edge technology solutions, defining a new category in enterprise software, called employee experiences. We are at the center of solving employee experience problems and cost issues for our customers. Our solutions increase engagement and effectiveness of the workforce, while providing the tools and insights that assist in optimizing physical office space users, along with the thing people rely on to perform their best.  This helps Enterprise Manager office occupancy decline while improving remote work and the return to office. CXAI is well positioned with our AI based SaaS workplace analytics platform to assist with these challenges by providing employers with the data they need to make decisions. We are the only publicly traded pure play solution provider in the space with a differentiated patented, SaaS platform and critical integrations with key technology partner. Our land and expand growth strategy pursues near term customer adoption with an upsell pat to AI features and analytics, which is poised to drive rapid usage. Our AI focus enables rapid adoption potential as users within the installed base can rise quickly. And we are rapidly approaching the release of our AI app in the coming months, which we expect to drive a meaningful bump in unit economics as we talked earlier. Organizationally, the teams have been restructured to align with our goals to focus on customer retention, expansion and value based new business acquisition. We've got the right platform built by the right team, and we are well positioned for significant growth ahead.  I look forward to showcasing our Sky platform this December, so everyone can see the amazing quality feature work built on AI. Thank you for your continued interest in CXAI. We will keep you informed as these key major milestones in our journey. Thank you and back to you operator.
Q - :
Operator: This concludes today's conference. And you may disconnect your lines at this time. Thank you.